Operator: Good day, and welcome to Grupo Bimbo's Third Quarter 2025 Earnings Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Rafael Pamias, CEO. Please go ahead.
Rafael Pamias Romero: Good afternoon, everyone. Thank you for joining us. Connected on the line today are our CFO, Diego Gaxiola; and Executive Vice President, Mark Bendix, along with several members of our finance team. During the third quarter, we delivered growth in both sales and EBITDA and saw improved sequential volume trends, driven primarily by disciplined pricing strategies, strong geographical diversification and material operational efficiencies. At the same time, we continue to demonstrate the resilience and breadth of our portfolio by gaining or maintaining market share in 5 out of our 6 categories. In North America, we posted very solid results with 3 quarters in a row with sequential margin improvements. In fact, we went back to double-digit EBITDA margin due to the excellent work of our associates throughout the transformation program. Overall, this performance underscores our ability to maintain profitability and agility, adapt and compete effectively and stay connected with consumers supported by a diversified global footprint that spans through 91 countries worldwide, including 39 where we operate directly, enabling us to navigate the challenging and fluctuating market dynamics. Despite a challenging environment in some markets, our diversified geographic footprint continues to pay off. In Mexico, while consumption was soft, the business has demonstrated notable resilience and reached the highest level of sales while continuing to report strong EBITDA margins at above 20%, even with a very tough basis of comparison. Meanwhile, we are observing encouraging signs of recovery in North America with improving price/mix dynamics and trends in core categories like buns and mainstream bread. EAA also reported extraordinary results hitting records in several metrics. Additionally, recent inorganic growth initiatives have proven highly accretive, reinforcing our strategic road map and strengthening our long-term value creation potential. I am proud to share that we held the 2025 Bimbo Global Race, our 10th. And thanks to more than 165,000 participants, more than 3 million slices of bread are being donated to food banks around the world. We were also recognized by MERCO as the company with the best corporate reputation in Mexico for the ninth consecutive year. Now looking into the results by region. In Mexico, despite a softer economic environment -- consumer environment, rather, and on top of the record results achieved in the third quarter of 2024, when we grew nearly 7%, we delivered sales growth of 0.3% -- this performance reflects our ability to sustain growth even under challenging market conditions, supported by a favorable mix and continued expansion across key categories such as bans and rolls, cakes and sweet baked goods. All channels contributed to this result with a particularly strong performance in convenience and traditional, demonstrating the resilience of our portfolio and the strength of our commercial execution. During the quarter, we faced higher commodity costs, mainly due to the FX hedge positions we had in place as well as the ongoing investments we are making to drive growth, enhance operational productivity and strengthened cost and control. And it is worth mentioning that even with a very tough basis of comparison of quarter 3 '24 when we reported the highest margin ever, where we were able to maintain our margins at above 20%. So this is still a very good quarter within the top 3 since 2022. After a difficult August, we regained positive momentum in September, driven by price pack architecture initiatives and innovation launches. We are also advancing the transformation of our go-to-market model to serve our customers and consumers more efficiently and to fully capture the benefits of digitalization across our operations. So we remain optimistic about the near- and long-term future of our operations in the country. In North America, excluding FX, sales declined by 3.5%, reflecting continued softness in U.S. consumption and a bifurcation of consumer behavior. With some consumers trading down to more value-oriented products, while others are increasingly choosing premium offerings. We are also cycling the impact of last year's strategic exits from certain non-branded customers, which occurred in October in the U.S. and during the second quarter of 2025 in Canada. Although volumes remain under pressure, trends are improving, and we -- and the business is showing clear signs of a stabilization. Private label performance has softened after a strong start to the year, while our branded bread portfolio led by Bimbo, Sara Lee and our premium artisanal breads continues to gain share. Sequentially, we saw lower sales declines, market share gains in core categories and a positive price/mix effect, supported by disciplined revenue management and more efficient trade spending. Turning now to our transformation project. We continue to advance as planned and are now seeing tangible results. The first phase focused on productivity is delivering record outcomes. In fact, productivity gains are running at twice the level achieved during last year's record performance. This led to an EBITDA margin expansion of 90 basis points and a sequential margin improvement from 7.4% in Q1 '25 and 9.0% in Q2 '25, going back to the double-digit margins. This transformation is enabling us to serve our customers better and more consistently. I would like to walk you through our process. And this project is centered on 3 key pillars. The first is about rightsizing our cost base via productivity, which is where we are now. Second, becoming a better version of ourselves through enhanced revenue growth management and performance governance. And finally, expanding beyond our current core through new growth channels, new distribution models and by addressing new markets. Looking ahead, our main challenge and opportunity lie in reigniting top line growth. We now have better visibility and stronger alignment to achieve this, supported by the progress of our transformation initiatives. We are focused on unlocking the full potential of our brands even amid external consumption headwinds by capitalizing on the significant opportunities we see in our portfolio. We are seeing specifically some growing interest in more elevated experiences and more health and wellness propositions. Moving on to Latin America. Excluding FX effect, we set a record for the third quarter for net sales, fueled by robust volume and sales momentum across every organization with sales outperformance in several countries, highlighting those within the Central America region as well as consistent growth in Colombia, Brazil, Chile, Ecuador and Argentina. Sales were also benefited to a lesser extent by the inorganic contribution from the acquisition of [indiscernible] in Uruguay completed in September of 2024. Adjusted EBITDA margin contracted 110 basis points, mainly due to the higher raw material costs in Brazil and Argentina, mainly related to the FX fluctuations as well as increased general expenses due to strategic investments for future growth including distribution improvements in Chile and Argentina. We remain fully focused on driving both growth and profitability, supported by the strength of our portfolio, the power of our brands, the agility of our route-to-market strategies and the outstanding execution of our associates at the point of sale, leveraging as well from disciplined revenue growth management strategies to further enhance our market competitiveness. I'm also very happy to share that this month, we have completed the acquisition of Wickbold in Brazil, adding Wickbold's trusted brands such as Wickbold and Second Boys as well as their manufacturing capabilities and distribution reach. that strength our portfolio and create a strong platform for sustainable growth, enabling us to deliver even greater value to our customers, consumers and shareholders. In Europe, Asia and Africa, excluding FX effect, sales increased more than 17%. This performance was primarily driven by the consistent strength of Romania, the U.K., India, Morocco and the Bimbo QSR business unit, coupled with the contribution from the acquisitions we completed in the last 12 months, including Karamolegos in Romania and Don Don in the Balkans. The adjusted EBITDA margin was benefited by the strong sales performance and lower administrative expenses, along with the accretive effect from past acquisitions and lower restructuring expenses related to last year's bakery closure in Spain. We continue to see challenging results in our branded business in China as well as the combined effect of minimum wage increases and the phaseout of wage subsidies in Romania. With this, I would now like to turn over the call to Diego, who will walk you through our financials. Please, Diego, go ahead.
Diego Cuevas: Thank you, Rafael. Good afternoon, everyone, and thank you for joining us today. Overall, our third quarter results were resilient with clear signs of stabilization in key markets such as North America. Our geographic diversification once again proved to be a significant advantage, enabling us to maintain the record margin achieved in the same quarter of last year despite challenges in some markets. In addition, our recent acquisitions have been highly accretive to both sales and margins, further strengthening our portfolio and reinforcing our ability to deliver sustainable, profitable growth. Moving on to our balance sheet. Our total debt increased MXN 6 billion as compared to the end of 2024. This was driven primarily by the acquisitions completed during the year and our CapEx program, which reached $728 million as of the end of September. These effects were partially offset by the appreciation of the Mexican peso. Despite these strategic investments, our net debt to adjusted EBITDA ratio declined to 2.8x. Our disciplined financial management continues to guide us through a challenging macroeconomic environment. We remain focused on operational efficiency, cost control and strategic resource allocation to protect margins and drive long-term value creation. Backed by a solid balance sheet and a recently renewed and upsized $2.35 billion committed revolving credit facility, we are well positioned to navigate evolving market conditions while staying firmly focused on sustainable growth. As shared with you previously, we anticipated a better third quarter for North America. We went back to a double-digit margin with a 90 basis point expansion when compared to the same quarter of last year, driven by material productivity savings. Now regarding our guidance, we are adjusting our average FX assumption by $0.50, reflecting the recent appreciation of the Mexican peso. This stronger peso represents approximately a 200 basis impact on our top line growth. Despite this effect and thanks to strong results of the third quarter and our confidence for the rest of the year, we are not changing our guidance. We continue to expect mid-single-digit growth in top line and flat to a slight contraction in our EBITDA margin. What we are updating is our leverage outlook. With the stronger peso, we now expect to end the year below 3x, more specifically at 2.9x instead of our previous estimate of 3x. Despite the challenges we have faced this year and the ongoing uncertainty in key macroeconomic environment, we remain confident in our long-term strategy. As a highly diversified global company and industry leader, we are well positioned to navigate near-term headwinds. Thank you for your time, and now we're ready to go to the Q&A session.
Operator: [Operator Instructions] The first question comes from Alejandro Fuchs with Itau.
Alejandro Fuchs: Congratulations on the results. I have one quick one related to the gross margin in the U.S. Obviously, we saw a very strong expansion year-over-year, but this is quite different to the trends seen in other regions. So I wanted to see if you could elaborate a little bit more into what's driving this very strong gross margin expansion in the U.S. you commented better mix and the productivity savings. I wanted to see if maybe you can give us some color on how much is productivity, how much is the mix and if you see this maybe being sustainable going forward?
Diego Cuevas: Alejandro, this is Diego. Yes. Let me tell you one of the big differences between the regions is the FX impact that we have. I mean, particularly in Mexico as well as in Brazil, Chile and other economies, a little bit very little in North America and Canada. What we're seeing today in the third quarter results is the hedges that we took approximately 6, 8 months ago as part of our continuous hedging strategy. But we're very disciplined, and we do not speculate and we provide the visibility and the certainty for the different operations in terms of the cost of the FX for the operation. What happened is that, as you remember, during the beginning of the year with all the uncertainty in regards of the tariffs that were going to change between North -- the U.S. and all the other countries, we started to see a very big depreciation of those currencies. So what -- what we're seeing today is the effect of this depreciation on our results. This will continue to have some additional pressure in the fourth quarter. As you heard, we are optimistic about the outlook for the fourth quarter, even with this additional pressure. Now that's the main reason for having a negative gross margin in Mexico, LatAm and Europe, Asia, Africa. In the U.S., we have no effect from the exchange rate, and we are seeing the full benefit of a much better cost of commodities. On top of the cost of commodities, we are seeing many benefits from the productivity initiatives that have been implemented as part of the transformation in the U.S. And finally, we have a positive mix effect in the U.S. that is also helping with the gross margin.
Operator: The next question comes from Ricardo Alves with Morgan Stanley.
Ricardo Alves: I have a follow-up question on North America margin. I think that certainly, that was the biggest positive surprise versus our numbers to see the margins back to the double digits. So congrats on that. As it pertains to the transformation, can you talk qualitatively about the main strides that you've achieved in North America. I think Diego just alluded to that. I think that in the release, you say record productivity benefits, if I'm not mistaken. So can you share with us some of the key metrics you're monitoring, the key metrics that maybe you've been able to already improve a lot versus, for example, last year, just so that we can grasp a little bit better where the efficiency gains are coming from and for us to have an idea of how much of that could continue going forward? My second question, if I may, is also related to profitability, and it's also related to what Diego just mentioned. But going to Mexico, when we look at the FX curve to the point that you just mentioned, Diego, we also see the possibility of a higher pressure on FX, but perhaps a better dynamic on a couple of raw materials that we see. So I just wanted to check if that is indeed what you see, the net-net impact in the very short term in Mexico being still pressured. And if that's the case, is there room for frontline pricing adjustment? And I ask that in the context of the flat revenues that you've achieved in Mexico. So if your COGS is inflating maybe because of the past FX issues is there room, given what we are seeing with the Mexican consumer today? Do you see the possibility of you adjusting prices, frontline pricing a little more aggressive going forward?
Mark Bendix: Ricardo, this is Mark, and thanks for your question. First off, I want to acknowledge it definitely is a difficult consumption environment in the U.S. But I really need to point out, I'm truly proud of our North American team and how they've embraced and committed to our transformation initiative. We have democratized the transformation process to many initiative owners to unlock our full potential. And we know that many hands make light work. More specifically, we have delivered resilient performance through Q3 with gross profit and EBITDA margin expansion. And looking ahead to the fourth quarter, our focus is on stimulating category growth and continuing this momentum that you've seen throughout the year with sequential improvement in our results. And we're going to do that through disciplined commercial investments, improved frontline execution and innovation. We are also working on automation, standardization and digital tools to drive our efficiency down to the route level. Our process optimization to enhance our manufacturing, we're working on warehousing optimization and distribution. we're minimizing waste everywhere you can possibly find it and increasing our labor efficiencies. And we're, frankly, ruthlessly managing our G&A and discretionary expense spending. So you can see it's multifaceted. It's across our business, and we're also seeing a positive price mix with some of our price pack architecture as well. Those are the main drivers that you're seeing the benefits in Q3, and we see that continuing on through Q4 and into '26.
Diego Cuevas: Thank you, Mark. Ricardo, regarding Mexico, let me first start by the last comment that you mentioned about the flat growth that we have during the third quarter. And I would like to reiterate and highlight that the main reason for having a flat performance is because of the comparison. We had a tremendous quarter in the third quarter of last year. It was our record history margin and also a very strong top line performance. And the same happened in the fourth quarter, okay? I would say when we zoom into Mexico, and you might probably remember that I was very explicit when we provided the guidance, that we felt very confident that for the second half of the year, we're going to see a margin expansion and that we were expecting a margin contraction for the first half of the year. And I think we're pretty much in line with our initial expectation, of course, with the changes on the exchange rate and the effect that it has in our top line growth. But I would say that in terms of margins, we feel confident it's going to be the case at Grupo Bimbo level. When we zoom in Mexico, it's probably a little bit the opposite because of the comparison. We are still seeing a very strong operating performance of the different businesses in Mexico. We're going to be for the second half in the -- above the 20% EBITDA margin mark, which is outstanding. If you look at the history of Mexico, 20%, it's a very strong level for our operation. So I just wanted to be clear that it's not that we're having a problem is that we have this tough comparison versus the second half of last year. In terms of the FX, I already mentioned, we will continue to see some pressure in the fourth quarter. To give you an idea, we have an average exchange rate of approximately MXN 20 per dollar for the second half of the year. When last year, we had an exchange rate below MXN 18. So we're having a big impact on the exchange rate. Fortunately, this is going to pass through. I mean this is going to go once we start to see the effect of the stronger peso that we're seeing in the spot market today that is going to be reflected in 2, 3 quarters in our P&L. And that, of course, will start to create a positive effect for 2026. In terms of the pricing strategy in Mexico that we're still operating as typically, we already apply selective pricing where possible, always in line with inflation. Everybody knows that we're not seeing a strong consumer environment. So we're being very cautious and very selective on which of the SKUs are having some price increases. So it's not all across the portfolio.
Operator: The next question comes from Renata Cabral with Citibank.
Renata Fonseca Cabral Sturani: I have 2 here. The first one is a follow-up about the transformational project. That was described as [indiscernible] transformation. And my question is in terms of top line contribution. It seems it's only the beginning of the contribution for the company. And in terms of time line, should we expect this FX impact in 2026 or that should be more towards 2027, if you can have some sort of color on this in terms of opportunities on this side on the top line? And my second question is still related to the transformational projects. So the company is making a huge transformation in effort. But my question is, if you also see opportunities for M&A to accelerate this front.
Mark Bendix: Great. Renata, thanks for your question. I think how you should look at our transformation is this is not just 1 or 2 months. This is a multiyear journey in transformation and expect to see it over multiple years. We've begun this journey, and we're having very good success. But we need to get our growth algorithm going in the right direction. And we're really -- our strategic focus is on multi-brand channel and format strategy to capture younger new consumers, smaller households, so our products are relevant. And certainly, everybody talks about the health and wellness. So we're refreshing our portfolio with new flavors, products, pack sizes. Some of the examples that you would see would be our Butter Buns and Bimbo buns, Thomas Protein bagels and the expansion of Muffin tops and Thomas's Croissant Bread, those kinds of products. So don't look at this as a single year journey, but a multiple year journey. And I'll let Diego and Rafa talk about acquisitions as a strategy for fueling that growth.
Rafael Pamias Romero: You were referring to M&A going forward in the U.S. or globally in Grupo Mexico -- in Grupo Bimbo?
Renata Fonseca Cabral Sturani: In the U.S. specifically.
Rafael Pamias Romero: Look, we proactively review the opportunities on the M&A horizon and analyze them thoroughly. As you know, we have acquired medium and small companies in the numbers of 24 during the last 6 years, following a very distinct pattern focusing on, as I said, complimentary acquisitions, on consolidating the presence in existing markets, entering interesting geographies and to learn processes or technology. In the case of the U.S., we are exploring always opportunities to complete our portfolio, knowing that our geographical distribution and presence is quite strong. So we're looking at these kind of opportunities, always. And if those make sense, why not? But they would be more on the top line area.
Operator: Next question comes from Antonio Hernandez with Actinver.
Antonio Hernandez: Just a quick one regarding competition in Mexico. I mean, you already mentioned, of course, the consumption environment and overall we've seen a similar speech across consumer companies. But anything more specifically maybe in terms of geographies or in terms of competition or the different categories? Anything -- any more color that you could provide, that would be great.
Rafael Pamias Romero: Yes. What I would say, I mean -- as you know, volume is expected to remain soft in the near term, and this is for everybody, ourselves and competition. And if you're referring if competition is denting our market share significantly or that if we see that there are some segments or categories where we're suffering more than others, I would say -- or channels. I would say that, no, it is not happening. I would say that in category performance, most categories contributed to our growth, highlighting very especially buns and rolls, cakes and sweet baked goods. And all this driven by differentiated innovations that are resonating quite well with consumers. Notably, we have our co-branding initiatives with Hershey's featuring high-quality chocolate fillings, et cetera. So I would say that on the category performance, I wouldn't say that our soft consumption, our soft volume could come from that, neither on channel performance, all channels grew, showcasing the resilience of our business, brand recognition and competitive position. And we're being quite active in every single channel to offer propositions that cannot be [beat]. So I would say that competition is not part of the equation on the general softness of the volume.
Operator: The next question comes from Lucas Ferreira with JPMorgan.
Lucas Ferreira: My first one is on the U.S. and on the transformation project. I know it's a multiyear project. There are many layers to understand that. But I think maybe at this point, you can already advise you can share with us some expectations in terms of when you add efficiency, when you leave some categories, they're probably not super profitable when you enter new more promising categories and you put all those things together, should we expect that operation to be sort of a low teens like it used to be during the pandemic or with sort of the revamp of productivity, we could be talking more sort of a mid-teens type of margin. And also on the growth side, I understand there's also many factors impacting the growth there on the top line front. But if you can share at least on -- in terms of volumes, what's your expectations on when should we start to see expansion of volumes in North America again? And if I may, a quick one on Europe, actually. So if you can just give us some guidance on what is the sort of organic growth of that operation, so we understand a little bit how to model this in 2026, excluding the inorganic. So just to understand how much the region is growing on a sort of a more normalized basis.
Mark Bendix: Lucas, again, this is Mark. Thanks for your question. I'll address your question about what you should expect from the U.S. as we go forward. So I think you should expect from us portfolio expansion, addressing underperforming and underpenetrated consumer opportunities, including the value-oriented products to meet evolving consumer needs. An example would be our entrance of Bimbo bread into the value-oriented consumer as well as Bimbo half loafs addressing smaller households, but also economically challenged consumers. The balance of the year for 2025 you should expect top line performance to gradually improve through the end of this year and then into next year, as our commercial initiatives gain more and more traction because you've seen a piece of it, but you haven't seen all of it yet. We had market share gains in mainstream bread that we're beginning to experience, buns and rolls and snacks. We remain committed to strengthening our share in the bread category. We're not walking away. This -- it's a large category. So we've got to innovate and capture it. Productivity is still a keen focus for us and we'll focus on expenses, and it will continue to help us drive margin expansion. As you've seen so far, our business has demonstrated resilience through various challenges, and we're strategically positioned now to drive the business into a sustainable, profitable growth in 2025 this year and then beyond. And we remain committed to delivering long-term value to our shareholders throughout the strategic investments and our operational excellence and our focus on consumer needs.
Rafael Pamias Romero: And I will continue with the question with Europe. Obviously, inorganic has represented some weight in our good results, and by the way, all accretive growth. Having said that, our organic results are strong, too. And we have been enjoying top line and bottom line growth in India, in our operations in North Africa, Romania and U.K. So I would say that the results of Europe, Asia and Africa, excluding FX effect, increasing by more than 17%, they are due to mostly the organic. So we're happy with that.
Operator: The next question comes from Ben Theurer with Barclays.
Benjamin Theurer: I wanted to follow up actually on Lucas's question here on EAA. Clearly, not only sales but also profit continues to be very strong and with a very significant margin expansion. So I would like to understand a little bit more what's driving that? Is it from a cost perspective? Is it mix? And how should we think about going forward, as you've just said, this is a strong growth driver. Obviously, it gains momentum, it gains relevance from like a margin profile, is that going to be in line with what North America should be? Is it going to get better than that because there's an emerging market component? Just help us understand aside from sales growth also maybe the margin profile for the region.
Rafael Pamias Romero: Yes, of course. On the sales side, what we're seeing is a quite remarkable expansion of our Bimbo QSR business unit. We are seeing more sales in the 4 big top customers that we serve. As you know, we have an extensive footprint in Europe, in Russia, Ukraine, France, Italy, and the likes. This is one piece. Also, we are seeing robust double-digit top line growth in India. And U.K. is also benefiting from portfolio expansion. So as you see -- and also, definitely, Romania is growing robustly. So I would say that we have been tailor making different strategies depending on the country. In India, it's all about category growth, and we are very well positioned with great brands. In U.K., it is about great additions to our portfolio. In Romania, it is about following our business plan, where we are pushing for consolidating a fragmented market and making the transition from unpacked and branded to packed and branded solutions. So I would say that it has been a different strategy per business unit sort of speaking. And on the bottom line, I remind you that all of our acquisitions in the region has been accretive from the EBITDA margin point of view, most especially the ones in Romania and with Don Don in the Balkans. So all in all, a pretty good picture in the past, and we hope the following quarters with EAA.
Operator: The next question comes from Roberto [indiscernible] with GBM.
Unknown Analyst: I wanted to ask you, we saw a significant reduction in CapEx deployment. Could you help us understand the difference? And what was the CapEx used for this quarter?
Diego Cuevas: Rafael, you're okay, I can take this one.
Rafael Pamias Romero: Yes. Yes, please.
Diego Cuevas: So year-to-date, we have invested $728 million, which is 33% lower versus the same period of last year. As part of our full year guidance, we're expecting CapEx to be in the low part of the range that we mentioned to be between $1.3 billion to $1.4 billion. Our investments are mainly in maintenance, maintenance CapEx, productivity projects and also growth initiatives. So what we have been seeing since 3 years ago is a gradual decrease on the amount of CapEx that we have been investing coming from $2 billion, then $1.6 billion and now we're going to end probably at $1.3 billion because our project for growth are demanding less resources than the heavy lifting that we were doing 2, 3 years ago. On the maintenance CapEx, it's more or less the same than what we typically invest, which is in the range of $800 million per year. In productivity, we're investing a little bit more this year, particularly from the transformation project in the U.S.
Operator: The next question comes from Álvaro García with BTG.
Alvaro Garcia: A couple on my end. Mark, on the U.S. consumer, I was wondering if you could maybe perhaps seeing some weakness. We've heard from other consumer companies, some weakness out of the Hispanic consumer specifically where people naturally over-index to a degree. So maybe if you could speak to any weakness out of that cohort, that would be helpful. And then a second one on Wickbold in Brazil, congrats on closing the deal. I'm assuming that we'll see that in the fourth quarter. And I was wondering if your leverage guidance for the end of the year considers that transaction?
Mark Bendix: Well, thanks for the question. In the U.S., I'll give you a sense of the overall trend that we're seeing. So we're seeing expectations for more health and wellness products and the consumer has definitely shifted pretty dramatically. And we're currently trying to appeal to a broader consumer demand for healthier options. There is increased demand for high protein foods. Consumers are prioritizing protein sources, including plant-based, as you're probably well aware of and with the onset of GLP-1 drugs, we're seeing that in the environment. In terms of the Hispanic consumer, there's no doubt, we don't have a detail that breaks that out to tell us that the Hispanic consumer is overly stressed. But I -- in the environment in the U.S., I would expect that to be true, but I don't have data that would support that, Álvaro. But we're positioned to capture this in many different consumers because we're offering a lot more value-oriented products. As I said earlier, we're working on Sara Lee half loafs, where we've introduced Bimbo bread across the United States and launched it nationally and it fills a spot above private label, but below the national brands. So hopefully, that's helpful.
Diego Cuevas: This is Diego. As you know, Wickbold acquisition was completed during this month in October. So I mean, no effect either on the P&L or the balance sheet as of the end of the third quarter. We will start to see the effect on the P&L in the fourth quarter. And yes, the guidance that I mentioned for the leverage of 2.9x by the end of 2025 it's including the acquisition of Wickbold.
Operator: The next question comes from Fernando Olvera with Bank of America.
Fernando Olvera Espinosa de los Monteros: My questions are for you, Diego. I mean just a follow-up regarding Wickbold, maybe if you can give us some color what will be the contribution of Wickbold in sales and EBITDA? And my second question is regarding your leverage. Considering the net debt-to-EBITDA ratio is likely to end below 3x, how are you thinking about share buybacks for the remainder of the year and early next year?
Diego Cuevas: Yes. Well, as you know, we do not disclose the specifics on acquisitions that are not transformational as the effect on our sales is no material at the Grupo Bimbo level is less than 1%. So as I said, it's going to be reported beginning in the fourth quarter, but we're not going to be disclosing any specifics on Wickbold. In terms of the net debt-to-EBITDA connected to the buyback program, I'd say that we're still in a financial position with a leverage that is above our comfort zone. We are planning to enter into a deleverage stage gradually. It's not going to happen very fast. But we do expect to see a gradual deleverage beginning in 2026 and going forward. But having said that, we still operate with the same methodology that considers, of course, the cash flow generation, the expectations that we have on the demand of resources, both in inorganic and organic needs and also, of course, the evaluation of the company. So we're there, we're going to be always analyzing if there's an opportunity and we can start to operate. So is not that we're on freeze. So anytime soon, we might probably start to operate the buyback program.
Operator: The next question comes from Felipe Ucros with Scotiabank.
Felipe Ucros Nunez: Just a couple on my side, most of the ones that I had been asked. But one that called my attention when I was going to the release was the mention about starting to see a positive price/mix performance in North America. So I was just wondering if you guys could talk a little bit about the sources of that improvement on the price/mix, whether it comes from the innovation things that you have rolled out or whether it comes from different consumption or channel behaviors or perhaps some actions on pricing on your behalf. Just any color you can give us on the turnaround on the price/mix in North America would be great. And then the second one, I was positively surprised to see a couple of countries in Latin America where things haven't been going as well. for most of the corporates that we've seen reporting this quarter. Argentina, for example, Ecuador, for example, you guys had good performances in those countries, but the macro seems to be pretty poor. So any color you can give us on how you're managing to achieve positive performance in those countries would be great.
Mark Bendix: Felipe, this is Mark again. In terms of the U.S. As we mentioned at the outset, we are seeing a bifurcation of consumers, both on the value end, but also on the premium end. And a little bit of that price/mix that you're seeing or commenting on is the artisan products that we've introduced into the market have had a very nice effect on our P&L. So we are excited and looking at extending and expanding more artisan products, that's what you're seeing and commenting on. And in terms of the rest of the question, I'll turn it back over to Diego.
Diego Cuevas: Actually, I'm going to answer on LatAm growth profile, right? I just want to remind you that we undertook a significant full potential and turnaround in key geographies 4, 5 years ago, definitely the step one in Brazil and Argentina mainly was to create a more competitive organization to get that out of the system, but also we create a very competitive one. So Brazil, our largest operation, has been consistently growing and improving profitability for several years. It is growing market share, has been able to increase full investment, and we have been able to source much needed in the past, capacity in bread, tortillas and snacks. So I would say that turning around Brazil and Argentina, we aided internally the source for tool and more capacity. So what we have been seeing is increasing our sales and extending our portfolios. Also, when it comes to Chile and Colombia, last year were not so good years for both economies, if you remember our previous quarters, but we just acted on both. We improved basically in Colombia, DSD performance, and we expanded significantly in hard discounters, which are a big thing in Colombia. And in Chile, we turn around the poor modern trade performance, I mean, a hiccup last year while doubling up our full portfolio in DSD. So net-net, I would say, that we have relied, and rightly so, with our excellent teams. And we have been very intentional on our full potential plans that sometimes we have shared with you guys. So I would say that we are outperforming the market in the top line. And if I may, last, but not least, of course, because of better prospects in LatAm, we have also been more, I would say, active on acquisitions in new categories, channels and technologies. For example, [indiscernible] in Costa Rica helped us focus on the artisanal original sweet baked goods and is opening up new channels such as in-store and frozen service. So all in all, I would say that despite the hiccups normal to the LatAm geography, we are coping with them with a stronger teams and portfolios.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Rafael Pamias for any closing remarks. Please go ahead.
Rafael Pamias Romero: Yes. Thank you. Thank you all for your time today. Please do not hesitate to contact our Investor Relations team with any further comments or questions you might have. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.